Operator: Thank you for standing by. My name is Lauren, and I will be your conference operator today. Welcome to the Canadian Tire Corporation Earnings Call. All lines have been placed on mute to prevent any background noise. Following today's presentation, there will be a question and answer period. [Operator Instructions]. Now I will pass along to Karen Keyes, Head of Investor Relations for Canadian Tire Corporation. Karen?
Karen Keyes : Thank you, Lauren. Good morning, everyone. Welcome to Canadian Tire Corporation's first quarter 2024 results conference call. With me today are Greg Hicks, President and CEO, Gregory Craig, Executive Vice President and CFO, and TJ Flood, Executive Vice President and President of Canadian Tire Retail. Before we begin, I want to draw your attention to the earnings disclosure available on the website, which includes cautionary language about forward-looking statements, risks and uncertainties, which also apply to the discussion during today's conference call. After our remarks today, the team will be happy to take your questions. We'll try to get in as many questions as possible, but we ask that you limit your time to one question plus a follow-up before cycling back into the queue. And we welcome you to contact Investor Relations if you don't get through all the questions today. I will now turn the call over to Greg.
Greg Hicks: Thank you, Karen. Good morning and welcome everyone. After a period of turbulence driven by an uncertain macroeconomic outlook, our Q1 results tell a story of resilience and emerging stability. These are precisely the conditions we require to pursue gradual, steady gains and implement our better connected strategy, which we know is essential to strengthening our competitive posture. As is typical of Q1, our financial services segment drove profitability in the quarter. In our retail segment, gross margin rate was exceptionally strong. And overall, we achieved a diluted EPS of $1.38, a significant improvement over last year. I previously stated that Canadian Tire often acts as a barometer for the Canadian economy overall. Macroeconomically, the increased cost of living combined with higher interest rates has created a period of hesitation among Canadian consumers. This has had an obvious impact on our operations. We remain vigilant, closely monitoring economic indicators. Recent reports point to a slower pace of growth, potentially signaling forthcoming interest rate adjustments. Such a move could foster stability, easing uncertainties in our business operations. Meanwhile, we remain steadfast in controlling costs while advancing our strategy, ensuring our readiness to adapt to market ships. Last quarter, I talked to you about shifting our focus to leverage, specifically our operating leverage, our existing assets and investments and our strong relationships we built through trying rewards. I'm pleased with our efforts on all of these fronts. And this morning, I will give you an update on the progress we've made in these areas, starting with Triangle. In Q1, a new partnership further Triangle's impact and reinforced it as an indispensable source of leverage. I'm speaking, of course, about our engagement with Petro-Canada's Petra Points Program. Already, our preliminary results tell us that nearly 200,000 Canadians have linked their Triangle rewards in Petro-Points accounts and over 2.4 million in incremental Canadian tire money has been issued to our membership. This boosted issuance returns to our stores in the form of redemption and incremental basket attachment. These numbers are encouraging and offer us a platform upon which we can continue to build. The results validate our leverage thesis, provide important momentum for our Triangle rewards brand and send a clear signal to the marketplace about our viability and desirability as a partner and our ability to deliver trust and an emotional connection with Canadian consumers. Beyond our partnership with Petro-Canada, we saw more encouraging progress with Triangle rewards in Q1. We grew our active registered members base by 2.3% in the quarter and our active promotable members were up over 2% compared to last year, driven by increased authentication across our websites, growth in the number of customers engaging with our one-on-one offers and improvements in quarterly active app users. In Q1, loyalty sales outpaced non-loyalty sales, underlining the value our customers are seeing in our membership program. We know how important value is to Canadians right now, which is why today we launched a new promotion we call the Max Stack Event. It allows our members to get even more value by stacking our great deals with opportunities to earn CT money multipliers across a range of products at Canadian Tire, SportChek and Mark's. And when it comes to Triangle Select in Q2, we are embarking on the acquisition strategies, I mentioned last quarter with the objective of scaling membership. Transitioning to our operating leverage, our banner and product mix in Q1 drove a 193 basis point gain in retail gross margin in Q1 to 37.1% excluding petroleum. We successfully lowered our supply chain OpEx as expected in the quarter driven by cost reductions associated with exiting all of our 3PLs and lower service provider costs as well as lower volume related costs. Last quarter, I mentioned how our supply chain would drive productivity savings and operating leverage in 2024. In Q1, our new apparel DC in the greater Toronto area handled 10% of the total unit volume in our DC network. Throughput is currently tracking 17% higher than this time last year with additional improvement in cost per unit. Overall, we are exceeding the productivity assumptions within our original investment thesis. Our entire domestic network is operating extremely well with fill rates up almost 200 basis points relative to our planned targets and we have no inbound or outbound backlog which is a significant improvement. In addition, our automated goods to person retrofits in both our Calgary and Montreal DCs are tracking well and are expected to be completed by the end of this quarter. We continue to make solid progress drawing down our inventory which has enabled us to reduce our use of rented storage trailers and third-party storage yards relative to Q1 of last year as we had planned. Before I hand it over to Gregory, I'll give a quick update on how we are leveraging the investments that we've been making in our Omnichannel customer experience. As I mentioned last quarter, now that we have completed our one digital platform, we are honing the user experience. In Q1, we made a number of improvements to our site speed and stability and the NPS scores for CTR browse and purchase improved three and seven points respectively over last year. We also saw improvements for SportChek and Mark's with purchase NPS improving over Q4 and browse at SportChek up almost nine points. To maintain a momentum, we have a squad dedicated to elevating site experience for both SportChek and Mark's. We are also amplifying the value of Triangle throughout the purchase journey and we've made several key digital enhancements. These improvements drive loyalty sales penetration and active registered members, increase incremental sales driven by our one-on-one offer program and improve authentication rates and Triangle NPS scores. In terms of implementing automation in AI, at the end of March, we introduced CT, our new shopping assistant powered by Microsoft AI technology that streamlines the shopping journey by helping customers select the right tires for their vehicles. What makes CT truly stand out from other chatbots is that it feels like you're actually talking to a human. One who can handle unexpected questions, understand the intent behind them and provide the most optimal answer. This is just the first step on our journey to harness the power of AI and large language models for our customers and we will continue to be a leading innovator in this space. Finally, the CTR mobile app continued to prove a key component of the omnichannel shopping journey, maintaining an industry leading score of 4.8 stars and 1.9 million average monthly active users. And with that, I'll pass it over to Gregory to provide more color on our financial results.
Gregory Craig: Thanks, Greg, and good morning, everyone. To start, let me take you through the headline financials. EPS for the quarter was strong, up 38% to $1.38. Financial services typically represents the lion share of our profitability in Q1. And this was true again this year with financial services IBT at $96 million. We were particularly pleased with the retail segment quarter results, a strong gross margin rate combined with OpEx discipline drove a return to profitability despite revenue declines and higher finance costs due to the CTFS repurchase. Finally, EPS benefited from a lower tax rate as well as lower outflows to non-controlling interests. That translated into higher net earnings and higher earnings per share. I'll now provide a little more color by segment starting with retail. Retail sales were $3.3 billion in the quarter, down just under 2% and down 1.6% on a comparable basis. Despite being broadly flat at mid-February, we saw more downward pressure in March across most of our banners. Petroleum sales were down just under 3% in the quarter, mainly due to lower gas volumes. Continued weakness in sales of discretionary products across our banners and lower shipments at CTR as dealers continued to draw down an inventory rather than replenishing drove an decline in retail revenue. Wholesale and franchise sales were also lower at Helly Hansen and SportChek, driven by a combination of inconsistent weather and the timing of some wholesale shipments at Helly Hansen. Now, let me unpack some of the detail by banner. At CTR, comparable sales were down 0.6%. Trips were flat compared to last year and this stable traffic helped drive growth in our essential categories, which were up 2% for the quarter. Discretionary categories continued to be under pressure and were down 4%. Growth in the automotive division was a highlight again this quarter, up 7% on strong sales of batteries, tires and car care products. Beyond automotive, a notable development this quarter was the growth in our seasonal and gardening division, which was up 3% after being down for five consecutive quarters. The introduction of EGO products drove growth in the snowblower category, while the first blush of spring in parts of the country resulted in better than expected early sales in some backyard amusement and outdoor cooking products. We will continue to look at how our assortment architecture, promotional activity and Triangle rewards program can drive trips to the balance of the year. At SportChek, the month of March ended up versus last year, but followed a tough February, meaning comparable sales ended down 6.5% against a strong Q1 last year. Soft demand in winter categories like outerwear, ski and snowboarding was mainly due to unseasonal weather in Ontario, Quebec and BC. Growth in team sports and footwear, although solidifying our position as Canada's destination for sport was not enough to offset these declines. Mark's was down 1.2%. Here, traffic and sales trended down in March after a stronger start to the quarter. Effective use of loyalty incentives contributed to traffic growth and growth in casual footwear and outerwear categories. These increases were offset by industrial footwear and workwear declines. Last year's acquisition of Bed, Bath and Beyond Leases unlocked an opportunity to build stores twice as large as our average Mark's store. Two of these bigger, bolder, better concept stores which allows us to showcase a broader assortment of products and styles opened during Q1. Early consumer response has been very positive. We expect to have more stores open in Alberta, BC, Manitoba and Ontario over the coming months. Finally, at Helly Hansen, our direct to consumer business continues to perform well with e-commerce up 28% versus last year and continued momentum in the U.S. where revenue was up 16%. Revenue is down 8% overall in the quarter on lower volumes and the timing of sports wholesale shipments. Moving now to retail gross margin. Retail gross margin rate excluding petroleum was above our expectations for the quarter and well above last year at 37.1%. While our aim is to continue to manage margin levers to hold margins over the longer term, there will always be quarter-to-quarter variances driven by business performance and mix and we saw that in Q1. CTR product margin was up against a weak comp last year. Mix was a contributor to the exceptionally strong rate and we've also had the benefit of lower freight rates partially offset by unfavorable currency impacts compared to last Q1. Investments in key capabilities such as the margin nerve center we have built at CTR have helped protect product margin and create room for us to evaluate the optimal use of promotional vehicles and promotional activity to drive sales. Turning now to SG&A, which was down 3% at the consolidate level and down 4% in the retail segment despite increased real estate, store operations costs as we continue to invest in the business. There were two main drivers to the decrease. First, as Greg had mentioned, supply chain costs were down as we reduced inventory. Third party warehouse costs were the most significant contributor to savings this quarter down significantly compared to Q1 last year when we had 12 facilities in operation. And second, we had a full quarter of the benefit in corporate personnel cost due to the reduction in headcount positions in place from mid Q4 and continued prioritization of resourcing needs which has resulted in slower hiring. These two items which we expect to continue to drive benefit through Q3 were coupled with tight control of marketing and our smallest quarter. As we said last quarter, the growth or IT spend is also slowing. Moving out inventory, as expected corporate inventory dollars were down in Q1 ending approximately $500 million or 15% below last year, mainly driven by CTR. Discretionary categories were down double digits and weighted to declines in spring summer outpacing essential declines. Changes in inventory were mainly due to mixed and lower units. Dealer inventory also decreased again this quarter with inventory and fall winter categories down significantly compared to last year. We are not expecting dealers to add significantly to their inventory position in discretionary or spring summer categories right now, but April typically represents around 25% of quarterly retail sales. So that could change if we see a meaningful improvement in consumer demand trends. Let's now move on to the performance of the financial services business. Financial services performed in line with our expectations this quarter with IBT ending at $96 million down 19% on last year. While revenue increased 5%, this was more than offset by a lower margin due to the expected increase in funding costs and net impairment losses as well as higher operational costs. Despite the economic environment which continued to constrain card spend, cardholder engagement was strong and gross average receivables was up 4.5%. Average active balances were up close to 4% and we continued to go active accounts which were up by 1% but at a slower pace as we maintain a prudent approach to acquisition. Credit risk metrics continued trend up over the course of 2023 and in line with our expectations. The PD2 plus rate was stable compared to last quarter at 3.6% and the right off rate increased to 6.4%. Both of these are now back to pre-COVID levels but well-below our long-term peak ratios. We are watching internal and external key metrics and expected to be able to take additional actions from a risk playbook if we find it necessary. Reflecting normal seasonal patterns ending receivables were down relative to Q4 at $7.3 billion and the allowance was unchanged at $926 million. The allowance rate was 12.8% and we continue to target that allowance rate up between 11.5 to 13.5%. We continue to leverage the significant experience of the CTFS team and our confidence that the bank remains in a solid position to manage through a more challenging economic environment. Before I wrap up and hand the call back to Greg, I'll briefly highlight some considerations looking into Q2. Product margin of CTR was strong in Q2 last year leading to historically high gross margin rate while CTR revenue reflected the one-off catchup of shipments due to the March DC fire. These will make for a tough comps in Q2. Building in some proactive measures on freight in the light of a possible rail strike will create an additional headwind. Where sales land given discretionary categories typically account for more than two thirds of our Q2 sales will dictate what replenishment patterns we see from dealers as they continue to manage inventory. Quarter to-date sales remain soft at CTR with sales down as expected as we cycled through historically strong April last year and saw cooler weather into early May this year. Having said that, we still have much game to play and the sales comps will get easier towards the back end of the quarter, when we start cycling, the consumer demand impact of last year's interest rate announcement in the last few weeks of June. We will continue to manage costs with savings in supply chain and personnel expected to help offset the investments in IT and highly real estate occupancy and store operations cost. So to conclude, we are not taking our eye off controlling what we can with our biggest retail cores in front of us. Our focus through Q2 will be continuing to meet our customer demand with the right mix of product, goods in stock positions and meaningful events that offers to encourage shopping while continuing to exercise the cost discipline that delivered solid results in Q1. With that, I'll hand it over to Greg for his closing remarks.
Greg Hicks: Thanks, Gregory. Overall, we are pleased with our results this quarter. Our planning efforts months ago set us up to better weather a continued soft consumer discretionary spend environment. When combined with our discipline margin and expense management focus, we are finding a way to drive bottom line leverage. That said, Q1 is traditionally our smallest quarter. As I mentioned previously, we've slowed the pace of some of our investments within our better connected strategy by focusing on those that provide the best return. We also continue to focus on the strategic review of our Canadian Tire Financial Services business. We are currently in the middle of the process with no new updates to report at this time. Overall, our teams are working very hard to push us forward through this dynamic macroeconomic period and I'm incredibly proud of and grateful for their unwavering commitment to delivering for all our stakeholder groups. This includes continuing to build trust and deepen the emotional connection Canadians have in our brand through our local community support. In Q1, Jumpstart dispersed more than $6 million to help more than 80,000 kids participate in sport and recreation. Last month, Jumpstart released its state of play youth report, a comprehensive new report that sheds light on the challenges facing today's youth when it comes to accessing safe and inclusive sport and play in Canada. And in addition to supporting our communities of today, we also remain focused on how we can make life better tomorrow through our ongoing environmental, social and government efforts and next month, we will be publishing our third ESG report. So keep an eye out for that. With that, I'll pass it over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Irene Nattel with RBC Capital Markets. Your line is now open.
Irene Nattel: Thanks and pardon me, good morning everyone. If we could just start on the retail side, really appreciate the color that you provided on demand. But as you were walking through sort of the cadence or the performance in Q1, what really struck me was, I guess that maybe volatility is putting it too strong, but the inconsistent sort of demand that's ebbing and flowing. And so I guess my question is, what actions are you taking to try and kind of smooth that out a little bit and how your commentary around April was cautious, but how we should think about the rest of the year?
Greg Hicks: Why don't I start Irene. It's Greg here. And I think what we're trying to highlight in the kind of the month-by-month walk as we go through things is there is a little bit of kind of volatility in terms of comps to last year. And as I just finished in my commentary, we talked a year ago around what happened in June where we saw the interest rate impacts get announced and a dramatic shift in terms of sales performance right thereafter. So I think the point we're trying to get at is, I think there's going to be a bit of a tail of two cities, frankly, within this quarter, as there might have been a little bit in the first quarter as well. I think is what I'll say. I know, Greg talked about the promotional activity. It was kind of loaded in the counter this year. I know there's lots of great offers. Still, the team have kind of been balanced here to drive activity. But I do think it's certainly as we get through Q2, there's going to be a bit of month-to-month volatility. And then I think from there, it's around where do we believe kind of the interest rate environment is going to be and customer demand as a result of that kind of overall. But I do think there is some noise in last year's results that are causing a little bit of kind of noise in that regard. But if I, you know, TJ, for example, in the CTR team, I know kind of they're leaning in a little bit more, kind of that discretionary mix this year with kind of inventory buys and marketing campaigns as well as a way to try to combat some of the softness kind of a discretionary. But I do think we're probably through a bit of a quarter, we're into a quarter still where there will be some volatility within quarter. And hopefully that gets to a more normal state once we get to Q3.
TJ Flood: Yes. And I think Irene, hi, it's TJ, I'll just add a little bit of that because you asked a bit about actions we're taking. I think there's two areas that we're drawing kind of some inference with based on how the consumer is reacting in Q1. And one is, we're going to continue to lean into essentials with our deployments and inventory buys. And the second is we know the customer is creating value right now. So we're very, very focused on all of the elements that we provide from a perspective, whether that be leaning into inventory and marketing on our own brands, which we believe provides a lot of value using our Triangle membership base and all of the program content we have to help deliver value that way. And obviously our discounting program. So those are the two big ones. And as Gregory alluded to, Q1 is a tough quarter, right? Because you've got ending winter and then you've got beginning springs. There's a lot in that to digest. But I think leaning into essentials and leaning into providing consumer values where our actions are focused.
Irene Nattel: That's really helpful. Thanks, guys. And so, I'm sorry to be so short term focused, but really just trying to understand how things are unfolding. If consumer demand stays where it is, it sounds like your expectation is that shipments to dealers will not pick up as we move through the quarter or what did I miss here?
TJ Flood: Yes, I mean, it's TJ again. Maybe I'll provide a bit of context on that. And I think one of the underlying things we need to unpack a little bit for you is to help answer that question is dealer inventory. So maybe, let me let me give you a little bit of color on that. We talked a bit in Gregory's remarks about how we're managing corporate inventory and we're feeling very good about our ability to manage that. And that's obviously helped us in OpEx. But when you look at the dealer inventory levels as Q1 kind of played out and as we expected, given that there was a lot of softer demand signals in Q4 and in the backup 2023, really, especially in discretionary categories, we saw dealers continue to manage the health of their inventory by drawing inventory down. And so we therefore saw a gap between sales and revenue in Q1 for the second consecutive quarter. So as we look into Q2 and Q3, I'd kind of reiterate what Gregory outlined in that. We expect dealers to buy spring summer categories more in reaction to the consumption patterns that they see versus how they've been doing it over the past couple of years, which is they really bought early and built inventory early. So it's really too early to tell where we've got two thirds of the quarter ahead of us still. And we've got obviously all of Q3 ahead of us. So it's hard to tell right now how the revenue is going to flow, but we do expect it to link much more closely to how the dealers are seeing the demand come in. And then, I also think it's important for you guys to understand where we landed coming out of winter as we look forward to Q3 and Q4. So I wanted to give you a bit of color on that as well. We actually feel very good about where dealer inventory landed coming out of the winter. They drew down a lot of their winter inventory relative to last year. We also have some good insight from early dealer orders on Christmas lights and decor. And those have come in as expected, which is good. So when you look at from a winter and Christmas perspective, as we head into the back half of the year, we again think that they're going to buy more closely related to what to their demand profile, what the demand profile is seeing. So that's how we kind of see it playing out over the next couple of quarters here. But a lot of game to be played yet, obviously in Q2.
Irene Nattel: That's really helpful. Thank you. And then just one point of clarification, if I might and this comes back to Greg's comment at the end with respect to the CTFS process. Now that you're several months into this, can you just give us an update on what your thoughts might be with respect to the range of options you might be looking at? Thank you.
Gregory Craig: It's Gregory, Irene, and I think here's what I'd say. I don't think, frankly, I'll answer your question a few different ways. First is I don't think anything has really changed in our view of how strong this asset has been received kind of in the marketplace. And frankly, the interest in the Triangle Reward Program has also continued to meet our expectations, so very pleased in that regard. You're right, there's a range of options out there. It's probably too hard to get into in the call around what they potentially can look like. But there's numerous options that are out there in the marketplace that we're involved in a process with. And here's what I would say more for the teams back at the Canadian Tires there. They're pretty busy right now with us looking at managing through this overall process. And that's probably the best we can give you at this time. There's really not really a new update on Structure A or Structure B. I think just kind of stay tuned in terms of as we continue to go through this process with our potential partners.
Irene Nattel: That's great. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brian Morrison with TD Cowen. Your line is now open.
Brian Morrison: Thanks very much. Perhaps Greg or TJ, can I just follow up on that revenue retail sales mismatch in dealer inventory? So as we enter the summer season, relative to average, are we tracking? I realize that we're getting more just in time. But in terms of the inventory levels for summer, are they average relative to historical and then fall and winter, it sounds like it's late. So perhaps, can you detail by essential and discretion? I'm just really trying to get a sense of when we should anticipate this typical reversal for revenue to exceed sales. It sounds like regardless of the economic environment, it should take hold in the back half of the year.
TJ Flood: Yes, Brian. It's TJ. There's a lot in that question. So let me try to get a little bit. As I said, I think as we head into Q2 and Q3, the dealers have burned down some inventory in Q1 and I think it's in expectation. They're watching demand signals very closely, right? The back half of last year in discretionary, the signals weren't strong. And obviously the Q2 and spring-summer business is a lot of discretionary, so they're watching it closely. It's hard to unpack for you. Like there's different pockets of spring-summer and in some areas, they're probably a little bit heavier than they'd like to be and in other areas, they probably need to replenish a little bit stronger. But overall, I think we're watching this really closely and I know that dealers are managing their inventory very closely. But I think it's really going to be linked to how consumer demand comes in and they're going to more tightly manage it that way. If you go back a year or two, they really tried to buy forward their inventories and they're adjusting that approach as we get into 2024. So that's kind of how we see it. It's tough to prognosticate, though, given how early we are in the quarter. So we'll have more to come on that, obviously, as the year unfolds.
Brian Morrison: Okay, fair enough. And question for Gregory, the gross margin, obviously one of the key stars of the show this quarter. You touched upon it in the prepared remarks, but talk about the drivers here outside of say, freight and mix. Like, our data analytics increasingly playing a role in understanding consumer trends and inventory optimization. And I know your target is to hold gross margin and Q2 sounds like a bit of a tougher comp, but should we think there's some upside to this outlook with the tools that you have?
Gregory Craig: Yes, there's no way I'm going to commit to an upside in the hope of the full year based on kind of my first quarter, but nice try. Look, I think we've talked for a while, and I tried in my remarks to talk about the margin nerve center that the CTR team has started to establish and build out. You're bang on in terms of the capabilities. And I think, sometimes we get lost in the detail of margin around discounting, or like there's 40 levers that the teams are managing around kind of that longer term goal of maintain our margins and we've accreted through kind of that pandemic period. And I think there's lots more to like the promotional tools are so much better than even the personalization. All that tier points are much stronger tools than I've seen in my time at Canadian Tire, but I also want to -- it's a cautious environment right now. I mean, do you get to a quarter or potentially have to do more discounting at one point. So to me, I reiterate what we've said, which is we feel good about our ability to kind of manage our margin over the long term, recognizing any quarter. We might have to pull one lever where it's a bit higher or a bit lower, but I feel really good teams continue to be able to demonstrate how they've managed margin over the past few years.
Brian Morrison: I appreciate your thoughts.
Operator: Thank you. One moment for our next question. Our next question comes from Chris Li with Desjardins. Your line is now open.
Chris Li: Good morning, everyone. I think my first question might be for TJ. TJ, I'm wondering if you can share with us what was sort of the essential category mix within CTR in Q1 this year versus Q1 last year? Essentially, I want to get a sense of how meaningful is a growth in the essential categories as you guys continue to make the business more resilient? Thank you.
A – TJ Flood: Hi, Chris. Yes. When you think about our essential business this year, it ranges year-over-year and it obviously goes annually. You're looking at kind of in the 60-ish percent range, but it really varies quarter-to-quarter and that varies year-to-year. We were more in the range this year of kind of mid 50s in essentials this year in Q1. And then as you go into Q2, you can expect that discretionary becomes a bigger part of the business. So it obviously varies year-to-year and quarter-to-quarter, but we're about a 55-ish, I would say in, in Q1. And then as you get into Q2, it gets into the kind of mid to high 60s.
Chris Li: Okay. Great. Thanks for that. And maybe one follow up for Gregory. Your SG&A expenses, I think normally remarks, you talk about some of the levers that you're pulling are kind of sustainable through Q3. I know you don't give any guidance, but just wondering when we're modeling our DSG and expense dollars within the retail segment for say Q2 and Q3, should we expect kind of still the low single digit decline that you have posted for the last two quarters or there are other investments that we should be aware of from, you know, for the next couple quarters?
Gregory Craig: Chris just stop and say, as you said, we don't give guidance. But here's what it'll say. I think what we tried to put in the remarks, because there are a bunch of questions in this. We tried to demonstrate where we see continued gains in OpEx. And we've talked about supply chain due to kind of inventory management, the personnel line due to the actions we took last year. And to be honest, I really didn't talk about kind of just an overall mindset around cost control around the place this year that I also think is helping us, contain our costs into 2024. The reality is we do want to invest more in stores. I talked to you about the Bed, Bath and Beyond. You've heard us talk about remarkable stores at CTR. So there will be some real estate costs that show up that will increase over time. And frankly, I'll take those costs all day as long as we're continuing to see the top line results that we're seeing. And so that's a good thing. So to me, the way I've tried to frame it is thinking is kind of those as best we can off setting some of those headwinds that are coming with some of the benefits you've referred to. But that's also kind of a quarter-by-quarter issue around bonus accruals or things like that as well. But for pure kind of core OpEx, that's how I think of for the retail segment.
Chris Li: Okay. Thank you. I'll get back into the queue. Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of George Doumet with Scotiabank. Your line is now open.
George Doumet: Hi, good morning, guys. Pretty strong demand out of the automotive segments. Can you maybe talk a little bit of what drove that? Has that continued into Q2? And can you remind us about the margin profile of that segment versus I guess the rest of the business? Thanks.
TJ Flood: Hey, George, it's TJ, thanks for the question. We're obviously very proud of the performance in automotive and I really like talking about this business. We continue to see really strong results here and we're very bullish about our long-term prospects in that division. The auto division delivered its 15th consecutive quarter of growth and we saw really strong growth within the merchandise categories tires in particular, fluids, auto cleaning, and our auto service business was really, really strong as well. And so, we're feeling very good about the momentum we have. And see this as a significant growth opportunity for us as we go forward. And together with our dealers, we continue to invest in auto service experience with our auto care suites. And that includes a bunch of technology like service tablets, so technicians can complete vehicle inspections digitally and send pictures to customers to update them in real time and the ability to book auto service appointments. And we've grown our auto service appointments by 90% year-over-year. So really good traction with consumers from that perspective. And we have new capabilities, like automatically sending customers text reminder to book their next regular service appointment. And that also allows to send them different promotions. And Greg talked a lot or talked a bit on in his opening remarks about the AI, the appointment we did with CT. And we're really excited about that. We obviously are first forward with our Microsoft partnership. We ran it right through automotive because we have so much faith in that business and believe in it so much. And there's just a lot going on there. And when you think about the aging of the Canadian fleet that's happened over the past couple of years, we still see a lot of opportunity as we go forward here. And, as you mentioned, within the merchandising group, it's what it's our highest margin rate business. So it's a very strong business for us from that perspective. So yes, we've got a lot of momentum there and we're going to continue to invest in and as we go forward here, we're excited about that business.
George Doumet: Would you be willing to quantify the higher margin versus the rest of the business?
TJ Flood: Yes. I mean, the way we've kind of articulated it before is as you break down our divisions, our living division is our lowest margin rate and automotive is our highest margin rate. And I'll kind of leave it at that, George.
George Doumet: Okay. I just have my follow up on the CTFS strategic review, assuming that the review goes favorably, can you talk a little bit about what you'll do with proceeds? Maybe the likelihood that we'll see M&A as a result of that?
Gregory Craig: Sorry, it's Gregory. Let me, let me take this one, George. And I understand why I'll be interested. I do think we're getting a bit of the cart for the horse here. So as I said, we've announced the process. We're into the process, meeting kind of what our timelines and expectations are to talk about a potential deal structure and use of proceeds. I think that's way ahead of our skis at this point. I would just say, again, we remain pleased at the interest in the asset and the interest in joining up with kind of the Triangle partnership, but I think we better stop short of talking about hypothetical gains and whatever we're going to do with money in M&A, et cetera, at this point in time.
George Doumet: Okay. Understood. Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Vishal Shreedhar with National Bank. Your line is now open.
Vishal Shreedhar: Hi. Thanks for taking my questions. I was interested in your comments on net promoter score. I noticed many retailers are experiencing pressure on net promoter scores on a year-to-year basis, not necessarily because of the retailing activities, but just a general reaction to the inflation that you're seeing in the market. So I was hoping, one, you could confirm that all banners, Mark's, Chek, and Tire are seeing year-to-year increases in net promoter scores, if that's correct. And number two, specifically what do you think is driving that, that increasing net promoter score against a backdrop of a consumer challenge?
Greg Hicks: Yes. So Vishal, it's Greg here. So net promoter score, is a critical important, critically important metric for us. It's something we introduced into the business a few years ago. And we've decided to deploy NPS into our score carding and metric management on a number of consumer experiences. And so, you heard me talk specifically about a couple of them that we're very focused on in our digital journey around browse and purchase intent. So I certainly couldn't suggest to you that across every single experience measure, our NPS is up on a year-over-year basis, but I can suggest to you that we are on top of what we believe to be the most important experiences for our customers. And that's why I called out some of the ones where we decided going into the year that we needed to put more increased focus and performance management on within the organization, because they needed improvement. And customers obviously through NPS were telling us they needed improvement. So we're very happy with our NPS scores in aggregate, which is why, again, why we called them out. I wouldn't say we're experiencing kind of any malaise across macro NPS scores in aggregate across the portfolio. Like I said, we feel really, really good about the improvement that we're seeing in the digital journey The implementation of ODP digitally, and this is all part of asset leverage that I've talked about before. You invest in the platform, you deploy the platform, it's no different than going into your local store on a historical repeat basis. And then all of a sudden going and realizing that it's completely remerchandized. And so, there's an orientation issue that you need to manage through and some of that we needed to work through with respect to ODP, especially at our Western banners. So, we did see some decreases in browse and overall digital store, NPS and we're correcting those. And the great news about this technology and this platform that we have is it's so flexible and scalable, you can deploy customer experience improvements much quicker than we ever could and get real time feedback through NPS. So feeling really good now about focusing on leveraging that particular investment for value creation. And we're seeing it, show up, like I suggested in my preparatory remarks around some pretty specific, but important experiences for us.
Vishal Shreedhar: Okay. So were the comments that you highlighted, were those year-over-year comments or sequential comments, quarter-over-quarter?
Gregory Craig: Year-over-year.
Greg Hicks: Yes, year-over-year.
Vishal Shreedhar: Okay. And moving, changing topics here about strategic review and the importance of Triangle and the insights and how that's dictating the way Canadian Tire goes to market increasingly. So, wondering if you could talk about other considerations about the business, particularly fuel. Is that something Canadian Tire deems to be critical within the core business, or is it more the frequency attached with that, the points and to spend in the retail business?
Greg Hicks: Yes. I mean, specific to fuels, I'll answer the last part first, Vishal. It's about that frequency of engagement with a member around share of wallet and then the issuance that comes from that business that comes back in the form of redemption and associated basket across the enterprise. So that's the strategic role of the gas business as opposed to demonstrable profits on a standalone basis for that business unit. I think, going back to Irene's question earlier, I think the biggest thing that we're -- I guess, more than thinking about where we're certainly acting upon it, but it's emerging weaponry for us is because of this volatility, it's really thinking through how we engage and entangle that membership more because if you can create this sticky relationship whereby you can count on more of your revenue being recurring from your membership, it's the ultimate kind of tactic, so to speak for dealing with this volatility. And so, we certainly continue to see our registered promotable members being sticky in the quarter specifically in Q1, almost 80% of these members who shopped with us in Q1 last year returned and shopped with us again this year and Q1 isn't, as you know, it isn't one of our big quarters. And so, to have that type of recurring revenue, that is where we need to point all of our focus to deal with -- not all of our focus to TJ and Gregory talk specifically about assortment and pricing and all the kind of weaponry that we've traditionally gone to market with, but taking that customer lens and really thinking through what is important to those members to bring them back. And so that's the beauty of some of the data we have now is and the NPS scores as you mentioned, we can get an idea of what's important to them and you can just continue to focus on improving those areas and ideally with more flexible technology like ODP that I talked about. And you can just do a better job bringing them back and to really changing some of our focus to managing churn in our membership. And if we can do that and keep bringing people back, that is ultimately the true test of a strong membership program and can really help with the volatility in our business.
Vishal Shreedhar: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from Tamy Chen with BMO Capital Markets. Your line is now open.
Tamy Chen: Hi, thanks for the question. I wanted to start off on the retail side. I can't remember if it's Greg or TJ, one of you said this on the Q4 call, but you had mentioned then that at that point, some of your historical demand elasticity algorithms weren't really holding up or behaving to what you would have expected to. And I'm just wondering if that's still the case now or these algorithms, the historical ones are coming back to what typical levels you'd see when you do something on pricing or the promotion or the offer and you're getting that demand back?
Greg Hicks: Yes, Tamy, it's Greg. Thanks for the question. We did certainly call that out in Q4 and we keep coming back story to the magnitude and sizing of Q1 and the grand scheme of the calendar. And historically, when you think about deploying, like if you've got -- if you're, if you're building powder in your margin profile, Q1 has not really been the best place for us to deploy that powder. It's just, it's, it's kind of to TJ's point, it's a, you know, you're winding down winter and you're just starting to merchandise spring. And so, I wouldn't say that we got any incremental signaling in the algorithms with respect to discount reaction, discount behavior in Q1. The way -- if you think about where the majority of the quarter can be won and lost, it's typically in March with spring. And we don't historically like to discount on the way into the season in an aggressive way. And I'm sure you can understand that. So we took the algorithms have like category understanding, with respect to those categories that were important to the customer in Q4. They manifest similarly. It just happens to be a different season in Q2. So, we'll learn more here as we go through Q2. When we get to the end of May and, and through the June period, and you'll probably hear us comment on this as we come out of Q2. So, certainly something we're watching, but I guess all that to say, it didn't learn a lot and don't believe that the algorithms got significantly smarter in Q1, given the level of discounting in the quarter.
Tamy Chen: Okay, fair enough. And my other question is the, sorry to be the dead horse a little bit here like retail growth margin. But even if we think about, yes, last year being a lower margin and we think about the improvement you would have had on supply chain, I mean, it's still a notable outperformance really. So, is the factor just that the auto business, which is high margin was really the big contributor? And on auto, I also wanted to ask, like, were there any accounting or LIFO [ph] credits? You might've gotten that health growth margin. Like I think we might've seen some of that from the U.S. auto aftermarket retailing and services company? So I just wanted to ask about that that. Thanks.
TJ Flood: Hey, Tamy, maybe I'll, it's TJ, in fact on the last point, no, we didn't see anything similar to what you just described in the U S. I think, Gregory has really kind of explained what we believe from a margin rate standpoint. We're committed to hold the margin rates that we've been able to garner over the past couple of years and as you looked at this quarter, we had some tailwinds and some headwinds. The tailwinds obviously were mixed with automotive and freight. And then we had some FX headwinds in front of us. But I don't think we can reiterate enough, margin rates is choppy and quarter-to-quarter you're going to see different swings. And we like to look at it over the full year basis. And I think you should anchor in on that. If you anchor in on the full year, our expectation is that we can, we're going to manage our margin rates relative to what we accomplished last year.
Tamy Chen: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Mark Petrie with CIBC. Your line is now open.
Mark Petrie: Yes. Thanks. Good morning. Just a couple of follow-ups specific to own brands a bit surprised to see penetration and CTR flat till last year, just given the emphasis on value from consumers. So is that simply because you're over penetrated in own brands and discretionary and as the mix shifts toward essentials, that sort of keeps that a little more constant? Or are there other factors there? And what do you think it would take for own brand penetration to rise that just sales mix, or are there other factors?
TJ Flood: Thank you Mark. It's TJ. We are actually slightly up in penetration in own brands in Q1. So I don't know, but I'll comment on that. We, we saw a lot of strength in Motomaster. We saw the automotive area in particular was very strong. So as automotive goes, so goes Motomaster. And as he said, we continue to put a lot of strategic emphasis behind own brands. We've got a lot of product launches coming up Performance Edge tire under Motomaster. We're launching we're continuing to roll out our power POD universal battery platform into a bunch of different categories. We've got some, some new innovation across Vermont castings and some barbecue accessories and really leaning into simoniz for household cleaning. And we're sorry, not household cleaning, but automotive cleaning. And so, we continue to put a lot of investment behind our own brands. We've built a very robust infrastructure to really focus on consumer insights to drive our product portfolio and put a lot of effort around marketing it. So we still see it as a big strategic driver for us. And obviously it provides a lot of value in these times where consumers are seeking that. So, we're going to continue to push it. But yes, we, we actually saw a slight increase in penetration in Q1 at CTR.
Mark Petrie: Okay. Thanks for that. And just on the allowance rate, I guess for Gregory, can you just walk us through the drivers on that falling from last year? Obviously the metrics in the portfolio has softened. And so is the job landscape. Is it really just mean that those have not deteriorated as much as you thought they would? And I guess related, how should we think about that trending through the balance of the year?
Gregory Craig: Yes, I think maybe I'll try to take the second one first, Mark, around. We do -- we have said publicly our range we expect in kind of normal times between 11.5 to 13.5. And the one thing I would say sometimes, if you're looking at sequential versus year-over-year, there's different ups and downs in receivables where the allowance won't change as much that can impact the rates. I think if you're saying specificallytwo a year ago, I think that comes back to what the teams have done, as you've actually written accounts off, but we're still kind of in that 11.5 to that 13.5 range we would expect. I wouldn't -- yes, there are economic considerations you have as you look forward that might be small factors that are proving out a little bit on a year-over-year basis. But to me, I just keep looking at kind of things like PD2 Plus rates, payment rates, and just kind of those is really kind of what the health of the business are. And then the allowance is kind of more that tail end of it if you will think of it as an output versus an input, right? So, but you're right to point out, we do look at unemployment, it's tweaked up a little bit in the last couple of months, but it's still relatively low, relative to kind of store levels in economic situations we've seen previously. But as you know, something we keep an eye on quarterly and keep a close watch on, but at this time, happy that it's kind of still within that 11.5% to 13.5% range.
Mark Petrie: Yes, understood. Okay. Thanks. All the best in the spring and summer.
Gregory Craig: You too.
TJ Flood: Thanks Mark.
Operator: Thank you. This concludes the question and answer session. I will now turn the call over to Greg for closing remarks.
Greg Hicks: Well, thank you for your questions and for joining us today. We look forward to speaking with you when we announce our Q2 results on August 8th. Bye for now.
Operator: This will conclude today's call. You may now disconnect.